Operator: Thank you for standing by, ladies and gentlemen, and welcome to the Euroseas conference call on the fourth quarter 2017 financial results. We have with us Mr. Tasos Aslidis, Chief Financial Officer, and Mr. Symeon Pariaros, Chief Administrative Officer of the Company. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session [Operator Instructions]. I must advise you that this conference is also being recorded today. Please be reminded that the company announced their results with a press release that has been publicly distributed. Before passing the floor to Mr. Aslidis, I would like to remind everyone that, in today's presentation and conference call, Euroseas will be making forward-looking statements. These statements are within the meaning of the federal securities laws. Matters discussed may be forward-looking statements, which are based on current management expectations that involve risks and uncertainties that may result in such expectations not being realized. I kindly draw your attention to slide number two of the webcast presentation which has the full forward-looking statement, and the same statement was also included in the press release. Please take a moment to go through the whole statement and read it. And, now I would like to pass the floor to Mr. Tasos Aslidis. Please go ahead.
Tasos Aslidis: Good morning, ladies and gentlemen, and thank you all for joining us today for our scheduled conference call. Together with me is Symeon Pariaros, our Chief Administrative Officer. The purpose of today's call is to discuss our financial results for the three-month period and full-year ended December 31, 2017. Let's turn to slide three of our presentation for our financial results overview. Starting with our fourth quarter results, it's a pleasure for me to report that in this quarter we returned to profitability for the first time since 2011. Specifically, net income for the three-month period was $2 million, while the adjusted net income attributable to the common shareholders was $1.1 million or $0.10 per share basic and diluted. Both are drybulk and our container ship fleets had positive results for the quarter, contributing to the overall gain. The difference between income and net income attributable to common shareholders includes a $500,000 of dividend [ph] on Series B preferred shares, and $300,000 gain on the sale of Aggeliki. Net revenues for the quarter were $13.5 million, and the adjusted EBITDA was $4.4 million. On the right-hand side of slide three we have our full-year 2017 results. Net loss for the year was $6.1 million, while adjusted net loss that's attributable to common shareholders was $4.2 million or $0.38 loss per share basic and diluted. The difference here again includes $1.8 million of dividends paid on Series B preferred shares, and a $4.6 million loss on write-downs of our vessels Aggeliki and Monica P, which were held for sale in the third quarter of 2017. Net revenues, $42.9 million, and the adjusted EBITDA for the year was $9.3 million. Please let's turn to slide four to discuss some of our operational highlights for the quarter. Let's start with our recent sale and purchase activity. During the fourth quarter of 2017, we took delivery of Akinada Bridge, a 5,600 TEU post-Panamax size container vessel built in 2001, in South Korea. This vessel is the last of our vessels we bought from Euromar and DvB. The 90's-built container feeder vessel, Aggeliki P, was sold for scrap for a gross price of $4.6 million, leaving us a profit for quarter about $300,000 over book value. As I mentioned earlier, the vessel was held for sale during the third quarter of 2017, and was written down for that purpose to its book value. The Handymax drybulk vessel, Monica P is still classified as held for sale. It is currently being inspected by prospective buyers. The construction of our Kamsarmax Newbuilding, a sister-ship to our Xenia, is proceeding as planned. We paid the third installment of 10% earlier this quarter, and we a final installment of 70% being due at delivery of the vessel, now expected by May 2018. The only drydock for the quarter was the Aegean Express one which placed from late-September and during the month of October, for a total cost of approximately $550,000. From the operational side, Akinada Bridge was idle for about 11 days, EM Athens was idle for about four days due to change of charterer, while the vessel we scrapped, Aggeliki P, undertook her last trip to the scrap yard adding up to the commercial off-hire days to about 41 for the quarter. On slide five, provide you with a snapshot of our fleet. We have a total of 18 vessels, and we'll be left with 17 when the sale of Monica P is concluded. After the completion of our Newbuilding program, with the delivery of our second Kamsarmax vessel in May 2018, drybulk fleet will have undergone significant renewal and will consist of three very young vessels built to our own specifications, and three Japanese-built Panamaxes of year 2000-plus vintage [ph]. At the same time, while our container ship fleet remains of higher average age compared to our bulkers it has also got renewed with the addition of five vessels, all built post year 2000, and the scrapping of Aggeliki P, which was built in 1998. We believe that both sectors of our fleet are well-positioned to play their role of public consolidation platforms for other mainly private fleets and vessels. This strategy potentially involving spinning off one of our two fleets in a separate company is what we are pursuing. We are currently discussing with several parties, including the Poseidon Group that we announced back in September 2017. Let's now turn to slide six to review our chartering activities during the fourth quarter of 2017. It was again a busy period. Starting with our bulkers, the Monica P was fixed for about 20 days at $8,400 per day, and then fixed again for another 25 days at about $6,500 per day. Tasos was fixed for about two months at the rate of $9,750 per day on a voyage charter, and then fixed for another 20 days at $8,500 per day. Pantelis was fixed for about 20 days at $10,500 per day, and then fixed for about 50 days at $9,650 per day. Charters were full, but one of our container ships were renewed during the last three months for -- ranging from two to 12 months at rates that are above cash flow breakeven levels, that in main cases at rates accretive to our earnings. The opportunity to do so, to do such renewals has been a justification of our strategy to pursue certain charters where the market is depressed in order to be able to take advantage of certain market recoveries. On to the list of the renewals one by one, but I would only like to point out the rates that two of our eldest vessels earned, Ninos and Kuo Hsiung, they were fixed at levels way above the breakeven level, making significant contributions to our bottom line. Let's now turn to slide eight to review our drybulk employment schedule in a graphical form. As you can see, our drybulk coverage for 2018 tends at about 22%, giving us ample capacity to benefit from a rising market. For our drybulk fleet we are pursuing the practice of employing our vessels on short-term contracts or index contracts in expectation of further improvements in the market. Slide nine shows the same information for our container ship fleet. We have currently about 50% coverage for 2018. The chartering strategy for our container ship vessels continues to be to employ them on short-term charters in anticipation of further market improvements except where we can earn more than $10,000 per day when a longer-term employment might be pursued. Let's now turn to slide 10 to review our operating performance for the quarter. Our managers at Eurobulk continue to keep our costs low. Our daily cost per vessel for 2017 were in line with our budget, and lower than pervious years as shown in the graph in the right part of the slide. The graph compares our daily costs excluding drydocking since 2008 with those of our peers. Overall, our costs remain among the lowest as compared to other publicly listed shipping companies. Let's now turn to slide 11. The left side of this slide shows the evolution of time charter rates for Panamax drybulk vessel change for container ship of 1,700 TEU since 2001. While drybulk vessel age can bounce back from their own time lows of the last year, this below-average historical levels even if one excludes the high years of the last decade. Container rates for vessels of our size have also moved overall time lows and seem to have enough [indiscernible]. The right-hand part of the slide shows the range of fluctuation of vessel values in relation to the historical periods. Similarly to rates drybulk prices have moved upwards from their recent lows that were established in the beginning of 2016, but are still lower than historical average. Containership prices are just now starting to move away from their all-time lows. We believe the current price levels still do not reflect the long-term revenue capacity of the vessels in either sector especially so on the containership side. To help us get some further insights of the market, I would like now to turn the floor to our chief administrative officer Symeon Pariaros who'll give us an overview of the status of the drybulk and containership markets. Symeon.
Symeon Pariaros: Thank you, Tasos, and good morning ladies and gentlemen. My name is Symeon Pariaros, and I'm the Chief Administrative Officer of Euroseas, and today I will talk a little bit about how the market performed during the last three months of 2017 along with expectations going forward in both segments that we operate. Let us now move to slide 13 for a brief overview of the charter market. The index, the BDI, stood at 1,356 points in the end of the third quarter of 2017 and ended up with a slight increase at 1,366 points in the last trading day of the year. However, within the same period, the index peaked at 1,743 points on December 12 having seen the lowest level at 1,308 points on October 3. Today as of March 5, the index stands at 1,210 points. Cape size spot rates averaged $23,708 in the fourth quarter while Panamax spot rates averaged $12,069 for the same period and Supramax spot rates averaged $12,841 again for the same period. The year ended up at $21,600 for the Capes, $11,063 for the Panamaxes and $12,553 for the Supramax vessels. As of March 1st those rates stood out $12,395 for the Capes, $12,055 for the Panamaxes and $11,403 for the Supramaxes, and the market seems to be firming up even more as we approach the seasonal traditional peak. One-year time charter rates also increased across both sizes. Between the third and the fourth quarter the average one-year time charter rate for the Cape sizes has moved from about $15,000 to about $17,000 while today Cape sizes turned in excess of $21,000 for the same period. Panamaxes also rose from around $11,100 to about $12,100 while today we're hearing that such rates hover in the area around $40,000 per day. For the Supramaxes, the rise was slightly smaller from $10,231 to $10,885. However, recently the rates seem to be firming up even further and today they hover around $13,000 per day. Moving into asset prices, these were also on the rise with five-year-old vessels having seen rises in the region of 5% to 10% on average. As resale Newbuilding vessel candidates have disappeared and now there are a few building orders mostly on the [indiscernible] sector have emerged with 2019 and 2020 onwards deliveries. Prices in China for Newbuilding orders stood in the region of $24 million, $25 million for Ultramax and Kamsarmax vessels respectively during the fourth quarter. However, recently we are hearing yards quoting even higher prices as earlier flows have disappeared and yards are only able to deliver ships maybe in late 2017 or more possibly 2020 onwards. The drybulk fleet grew roughly about 3% during 2017. Let's move now to the container market and turn to slide 14. Time charter rates in the fourth quarter for feeder and intermediate size vessels are ranging from 1000 to to 5000 TEUs have all averaged about the same as in Q3. The 1700 TEU geared vessels though did a little better and rose from an average of 7317 to an average of $8300 in the fourth quarter while the 2500 TEU geared vessel moved sideways from an average of $8733 in Q3 to an average of $8750 in Q4. Average secondhand prices for older than 15-year-old vessel remained close to scrap values in the fourth quarter. However, for younger vessels of about 10 years old, we saw rise trends which seemed to be firming up even more in the last month. Newbuilding prices were stable with rise in trend though. Furthermore in early January 2018, Evergreen one of the bigger liner companies placed an order for 20x11,000 TEUs vessels which are also due for delivery on 2020 onwards. And we are hearing a few more discussions for more ultra large vessels from various liner of companies for deliveries in 2020 onwards. Now the idle fleet was about 350,000 TEUs at year-end. But since then has diminished to about 190,000 TEUs as of mid-February and is expected to fall even more as we are approaching the seasonally stronger period. Scrapping continued to be slow in the fourth quarter with about 70,000 TEU scarp. And this has happened under very firm scrap price but in anticipation of a much better market from owners which make avoid scarping their vessels. The fleet grew by 3.6% in 2017. And this is without accounting for idle vessels reactivation. Now moving on slide 16; you can review the drybulk fleet profile and the order book delivery schedule for the following years. As of January 1st, this year 4.1% of the drybulk fleet was contracted for delivery within 2018. This number is the lowest number for scheduled deliveries for many years. And this fleet has continued at its historical levels than the actual number of vessels that we enter services will be above 20% to 30% less than scheduled leading to the lowest fleet growth seen for awhile. Depending on scrapping of course, this growth would be no more than 2% indicating a very, very promising supply environment. Now on slide 16, you can see the container delivery schedule which at the beginning of this year stood about 8% of the fleet. However, roughly 8% of these orders are for very big vessels. Here around 30% slippage is also anticipated pushing almost third of the order book in 2019 while the existing order book is considerably smaller and no new orders are anticipated for that year. Turing into slide 17, you may review the most recent IMF projections regarding world GDP which now stand at 3.9% growth for 2018, a 0.2% increase from the last projection. China, the most important factor for drybulk, is now expected to grow by 6.6%, up from 6.5%. And India the new growth engine of the world is expected to grow by 7.4%. The same as projected in the previous IMF release. The U.S. is projected to grow by 2.7%, up by 0.4% from the previous quarter. Brazil is expected to have a 1.9% growth in 2018, the same as previously predicted. Russia is expected to grow by 1.7%, up slightly 0.1% from the previous quarter. Now turning on to shipping; first to drybulk, according to Clarkson, the drybulk sector is now projected to grow by 2.8% while container trade is expected to grow in the region of 5%. Slide 18 now summarizes our outlook for the drybulk sector. In 2017, the market was characterized by robust demand and a depleting order book. One year time charter earnings averaged 70% higher than in 2016, but still well below historical average levels. For 2018 and 2019, we expect further improvement in the supply demand balance and bearing any significant slowdown in Chinese iron ore and coal import, we should see a stronger market, something that is already reflected in the time charter earnings of the vessels. Now while China remains the main source of drybulk trade, iron ore import, the largest country because of drybulk trade growth has been strong and very firm steel demand and the rise in import attributed mostly to local mine closures but also to very good end demand. Similar trends are witnessed in coal imports as local coal mines are being shut down due to inefficiencies and pollution concerns. However, the reversal of this trend could negatively affect the very positive outlook. Finally, slide 19, describes our outlook for the container market where demand growth in 2017 came at about 5%. This has led to a rapid depletion of the idle fleet and a robust market recovery. At yearend, 6 to 12 month time charter earnings were up 35% compared to the same period of 2016, however, still well below historical average level. The idle fleet was below 2%; one of the lowest levels seen in the last 10 years. We now expect the supply and demand balance to be positive in 2018 leading to a tighter market which would enable rate to rise to closer to the historical numbers. Fundamentals for the sub 5000 TEU vessels look even better as fleet growth is expected to be marginal or even negative in some cases while intraregional trade especially in Asia where these vessels are mostly used is robust. The order book for 2019 is low, suggesting that 2019 will be even better year if demand holds up. Thank you very much for your attention, ladies and gentlemen. I will now pass the floor on to Tasos to continue his presentation.
Tasos Aslidis: Thank you very much, Symeon. Let us now take a closer look at our financial statements and results for the three month period and full year ended December 31st 2017. For that, let's turn to slide 21 and first take a look at our results for the three month period ended December 31st 2017. We reported total net revenues of 13.5 million representing an 85% increase over total net revenues of 7.3 million during the fourth quarter of 2016. We reported a net income for the period of 2 million and the net income attributable to common shareholders of 1.5 million as compared to a net loss of 17.6 million, a net attributable to common stakeholders of 18.1 million for the fourth quarter of last year. The results for the fourth quarter of 2017 include 0.1 million net gain in derivatives and the 0.3 million net gain on sale of a vessel as compared to a 0.1 million net gain on derivates and a 5.9 million loss on write down of vessel held for sale and a 3.8 million loss on termination of a ship building contract alongside the 4.7 million impairment loss in other investments for the same period of 2016. As I mentioned earlier, the difference between net income and net income attributable to common shareholders accounts for the dividend we paid to our Series B preferred shares in the fourth quarter of this year. This preferred dividend can be paid either in cash or in kind. And we have elected to pay it in kind for the last 16 quarters. Basic and diluted earnings per share attributable to common shareholders for the fourth quarter of 2017 were $0.13 compared to basic and diluted loss per share of $2.17 for the fourth quarter of last year. Excluding the effect on the income or loss attributable to common shareholders for the quarter of the net gain and derivatives, the net gain on sale of a vessel, the loss on termination of ship building contract, a loss on write down vessels held for sale and the impairment loss of other investments, the adjusted earnings per share attributable to common shareholders for the quarter would have been $0.10 basic and diluted compared to a net loss of $0.45 per share basic and diluted for the fourth quarter of 2016. As I mentioned in the beginning, both our bulkers and container ships contributed to our profitable quarter. Adjusted EBITDA for the fourth quarter of 2017 was 4.4 million compared to a negative EBITDA of 0.4 million for the same period of 2016. Let's now look at the right side of slide 21, at the results for the full year 2017. For the full year, we reported total net revenues of 42.9 million, representing a 51% increase over total net revenues of 28.4 million during 2016. This is also the result of the increased number of vessels we operated and also the result of increased average charter rate that we earned for the year. We reported a net loss for the period of 6.1 million and a net loss attributable to common shareholders of 7.9 million, as compared to a net loss of 44.2 million, net loss attributable to common shareholders of 45.9 million for the 12 months of 2016. The results for 2017 include a 0.1 million net gain on derivatives, a 0.8 million net gain on the sale of two vessels, and a 4.6 million loss on write down two vessels held for sale in the third quarter as I mentioned as compared to a 0.1 million net loss on derivatives, 5.9 million loss on write down of vessels held for sale and a 7.1 million loss on termination of ship building contracts and further 18.7 impairment loss in other investment for 2016. Again, the difference between net loss and net loss attributable to common shareholders of 1.8 million for the full year accounts for the dividend we paid to our Series B preferred shares. Basic and diluted loss per share attributable to common shareholders for 2017 was $0.71 compared to basic and diluted loss per share of $5.63 for 2016. Excluding the effect on the loss attributable to common shareholders of the net gain or loss on derivatives, the net gain on vessel and loss on write down on vessels held for sale, the loss on termination of ship building contracts, the impairment loss of other investment, the adjusted net loss per share attributable to common shareholders for 2017 would have been $0.38 basic and diluted compared to a loss of $1.74 basic and diluted for 2016. Adjusted EBITDA for the 2017 was 9.3 million increasing from the 1.1 million negative EBITDA recorded during 2016. Let's now move to slide 22. In this slide, we provide you with our fleet performance for the three months and full year ended December 31st 2017 and compare it with the same performance over the corresponding periods of last year. Let's start with our three month period ended on December 31st and look at our fleet utilization rates, which as always we have broken down into commercial and operational. As you can see on the left-hand side of the slide, during the fourth quarter of 2017, we reported a 97.2% commercial utilization rate and 99.2% operational utilization rate compared to 96.2% commercial and 99.8% operational utilization rate for the same period of 2016. I want to remind you here that our utilization rate calculation does not include vessels in scheduled drydock, scheduled repairs or in lay-up during the reporting periods. In the fourth quarter of this year, we operated 16.3 vessels with an average time charter equivalent rate of $9,083 per vessel per day, representing a 19% increase compared to the time charter equivalent rate of $7,666 per vessel per day which we achieved during the same period of 2016, a period during which we operated 12.1 vessels and drybulk rates were at their historical low levels. Total operating expenses including management and general administrative expenses but excluding drydock costs were $5,273 per vessel per day during the fourth quarter last year, as compared to $5,525 per vessel per day for the same quarter of 2016, representing a decrease of 4.6%. As I mentioned earlier, overall, we believe we maintain one of the lowest operating cost structures amongst our public peers. And we think that this is one of our competitive advantages in the business. Let's now look at the bottom of this table, to our daily cash flow break even levels, presented here on a per vessel per day basis. For the fourth quarter of 2017, we reported an operating and cash flow breakeven level including loan repayments but before any balloon payments of $6,679 per vessel per day as compared to $8,758 per vessel per day during the fourth quarter of 2016. Let's look now at our full-year 2017 performance, starting again from our utilization rates broken down in commercial and operational. For the full-year 2017, we reported a 98.4% commercial utilization rate, and a 99.2% operational utilization rate, as compared to 97.3% and 99.9% respectively for 2016. Again, our utilization rate does not includes vessels in scheduled drydocks, scheduled repairs, or when we have any lay-up. For the full-year 2017, we operated an average fleet of 14.2 vessels, and reported a time charter equivalent rate of $8,290 per vessel per day, representing a 13% increase compared to a time charter equivalent level of $7,631 per vessel per day during 2016, a year during which we operated an average of 11.5 vessels. Total operating expenses, again including management fees and general and administrative expenses but excluding drydocking costs were $5,662 per vessel per day for the full-year of 2017, compared to $5,883 per vessel per day for 2016, representing a decrease of about 3.8%. Looking again at the bottom of this table to our daily cash flow breakeven level for the full-year, we see that we had a cash flow breakeven level of $7,429 per vessel per day, a number that again includes loan repayments but not balloon payments. This compares to $8,466 per vessel per day that we had through 2016. Let's move to slide 23. This slide shows on the right-hand side, our cash flow breakeven level estimated over the next 12 months, and on the left side, our scheduled debt repayments including the scheduled balloon payments over the next five years. This chart does not include the loan we play to draw to finance our Kamsarmax vessel -- our Kamsarmax Newbuilding vessels, which is coming for delivery in the second quarter of 2018. You will notice in the graph that in 2018 we have a $3.4 million of balloon repayments, while in 2019 we have balloon repayments of $15.9 million due. Typically, and so far, we have managed to finance the biggest part of our balloon repayments as they come due, and we expect to be able to do so this one as well. Expressed in dollars per day, our loan repayments over the next 12 months amount to about $1,610 per vessel per day contribution to our cash flow breakeven. You can see those numbers on the right part of this slide. If we make assumptions for the rest of our operating items, such as operating expenses, general and administrative expenses, interest, and drydock expenses on a per vessel per day basis we have a breakeven level overall of $8,720 per vessel per day over the next 12 months, again without taking into account any balloon repayments or any change to that breakeven level coming from financing our Newbuilding or Kamsarmax, which if included we expect that will affect -- will increase our breakeven level by about $250 per vessel per day during the next 12 months. Let's now move to slide 24 for the discussion of cash flow and asset value sensitivity to market changes because, as mentioned earlier, we believe that Euroseas is well positioned to take advantage of a continuing and hopefully intensifying market recovery. As you can see in this slide, about 40% of our total available days in 2018 are contracted with fixed charter rates, leaving us significant capacity available to benefit from a potentially stronger market. While as we saw in the previous slide, a low cash flow breakeven level provides us an additional cushion to absorb any market volatility if it moves downwards. We can see the sensitivity of our results to possible market developments in this table where specifically boats we saw the effect on our earnings of $1,000 per day in change in the market rates. In 2018, if the market increases by $1,000 per vessel per day, that increase will contributed about $3.8 million to our bottom line which will translate to about $0.34 per share gain. Similarly, if the value of our ships increased by $1 million unit our fleet value would increase by about $17 million, which in turn would translate to about $1.5 per share increase in our net asset value. I hope that information will give you a sense of we can benefit from potential market increases. And with this positive note, I would like to conclude our remarks and open the floor to your questions.
Operator: Thank you very much. [Operator Instructions] Our first question is from the line of James Jang from Maxim Group. Please go ahead.
James Jang: Good afternoon guys.
Tasos Aslidis: Good afternoon, James.
James Jang: So, can you give us an update on the Poseidon Containers Holdings?
Tasos Aslidis: Okay. I think I made the reference in the beginning of my remarks, James. We'll continue discussion with Poseidon to potentially form a combination with their fleet. This is part of our overall strategy of using our public platform to consolidate with other companies, and Poseidon is one of those entities we are speaking with.
James Jang: So, would it be still the same thing possibly spinning out -- if this happens to spin out the containers and the drybulk separately?
Tasos Aslidis: I think that's something that we are seriously considering, yes.
James Jang: Okay, great. And it looks like the feeder rates, they're really strong. The order book is pretty minimal. Do you look at this as an opportunity to continue to build that out aside from the Poseidon deal?
Tasos Aslidis: Possibly. I think I would agree. And we would agree with you that that segment of the container ship market probably would have the best supply-demand dynamics, as I think Symeon described, that the supply very likely will be -- the supply growth will be negative, and we expect demand for this segment to follow the overall trend of demand for containerized trade. So we consider that segment as quite an attractive segment, and prices haven't really recovered -- they have recovered but there is still room to go. Potentially that is an area that we could consider expansions.
James Jang: So like…
Symeon Pariaros: We have already positioned ourselves in that sector. I mean we took delivery of a few of the Euromar vessels in the last quarter. So please bear that in mind as well.
James Jang: Okay. Yes, because I don't have I guess market asset values, I have lagged asset value. So I don't know. Have they been picking up though on the SMP market?
Tasos Aslidis: They have definitely moved up from the lows, and noticeably, but not as much as the drybulk vessels.
James Jang: Okay, and what about any opportunities for the Euromar vessels that we're taking in to the private fleet to enter the public fleet?
Tasos Aslidis: I don't think I can comment on that at this point simply because Euroseas does not have cash to acquire those vessels. I don't think there is anything there at this moment.
James Jang: Okay, great. And so the good news is the Kamsarmax. So it's going to be delivered in May now, right?
Symeon Pariaros: Yes.
Tasos Aslidis: That's the plan, yes. The delivery has been brought forward a bit by the yard, and we welcome that because we believe we can load the vessel very productively in the market.
James Jang: Got you. Okay, so that was led by the yard, not you guys asking for it to be pulled ahead, right?
Tasos Aslidis: Actually if we asked the yard can you do it then it wouldn't be possible. So the yard was able to do it, and willing to take the vessel a little earlier.
James Jang: All right, great. All right, that's all I have. Thanks guys.
Tasos Aslidis: Thank you, James.
Operator: Our next question is from the line of Tony Kamin from Eastwood Partners. Please go ahead.
Tony Kamin: All right. I may have missed this…
Tasos Aslidis: Good morning.
Tony Kamin: Good morning. I missed the early part of the call. But when you talk about using the company potentially as a consolidation platform, and then you talk about accretive acquisitions being the other main strategy, do you anticipate that any consolidation that you would do would be sort of immediately and potentially strongly accretive to shareholder value?
Tasos Aslidis: Potentially yes. I think we will not do any move, any transaction that would be dilutive to our shareholders. I think we are trying, with our strategy, to help our value recover and realize potential. We're one of the few companies that rate at significant discount to NAV. And we believe that our strategy will help our price recover and realize their value, and as a result help our shareholders. So I expect any transaction that we'll do along those lines to be automatically accretive. But of course there's an expectation we've yet to see.
Tony Kamin: Okay, and then secondly. I know that previously you'd announced the potential for consolidation on the container side, but now you're saying in both sectors. So are you seeing opportunities that you weren't necessarily seeing before in the drybulk side to consolidation?
Tasos Aslidis: I think the answer to that is yes, I think we're seeing opportunities. We have been seeing opportunities in the past, but the fact that the market was depressed but did not give any urgency to the discussions in the past. Now, with the market becoming more welcoming to shipping, I think there will be more opportunities for both sectors for us to play out this strategy.
Tony Kamin: Great. A great quarter, and good luck on all that. Thank you.
Symeon Pariaros: Thank you.
Tasos Aslidis: Thank you very much.
Operator: [Operator Instructions] Thank you. Okay. There are no further questions coming through.
Tasos Aslidis: I would like to thank you all for your interest and participation in this conference call. And I would like to remove our roof [ph] for our next quarterly results in May. Thank you all.
Symeon Pariaros: Thank you.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you all for participating. You may now disconnect your lines.